Operator: Good morning, and welcome to the Helix Energy Solutions Fourth Quarter and Full Year 2025 Earnings Conference Call. I am Frans, and I'll be the operator assisting you today. [Operator Instructions] I would now like to turn the call over to Brent Arriaga, Vice President of Finance and Accounting. Please go ahead.
Brent Arriaga: Good morning, everyone, and thank you for joining us today on our conference call, where we will be reviewing our fourth quarter and full year 2025 earnings release. Participating on this call for Helix today are Owen Kratz, our CEO; Scotty Sparks, our COO; Erik Staffeldt, our CFO; Ken Neikirk, our General Counsel; Daniel Stuart, our Vice President, Commercial; and myself. Hopefully, you've had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release and slides can be accessed under the News and Events tab. Before we begin our prepared remarks, Ken Neikirk will make a statement regarding forward-looking information. Ken?
Kenneth Neikirk: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations and assumptions as of today. Such forward-looking statements may include projections and estimates of future events, business or industry trends or business or financial results. All statements in this conference call or in the associated presentation other than statements of historical fact are forward-looking statements and are made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual and future results may differ materially from our projections and forward-looking statements due to a number and variety of risks, uncertainties, assumptions and factors, including those set forth in Slide 2 of our presentation and our most recently filed annual report on Form 10-K, our quarterly reports on Form 10-Q and in our other filings with the SEC. You should not place undue reliance on forward-looking statements, and we do not undertake any duty to update any forward-looking statement. We disclaim any written or oral statements made by any third party regarding the subject matter of this conference call. Also during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation provide reconciliations of certain non-GAAP measures to comparable GAAP financial measures. These reconciliations, along with this presentation, the earnings press release, our annual report on Form 10-K and a replay of this broadcast will be available under the -- for the Investors section of our website at www.helixesg.com. Please remember that information on this conference call speaks only as of today, February 24, 2026, and therefore, you are advised that any time-sensitive information may no longer be accurate as of any replay of this call. Scott?
Scott Sparks: Thanks, Ken. Good morning, everyone. Thank you for joining our call today. We hope everybody is doing well. This morning, we will review our fourth quarter and full year 2025 results, financial performance and operations. We'll provide our view of the current market and provide guidance for 2026. Our teams offshore and onshore safely delivered another well-executed quarter. The fourth quarter turned out to be much stronger than we anticipated even with some segments being in a softer market condition and return into winter seasonal conditions that usually drive down utilization. In terms of earnings, the fourth quarter was our highest fourth quarter since 2013, so congratulations to our teams. Moving on to the presentation, Slides 5, 6 and 7 provide a high-level summary of our results and key highlights for the quarter and for the year. As mentioned, our fourth quarter results were better than expected despite the continued low cost stacking of the Seawell and lower utilization for the Q4000 in the Gulf of America. Revenues for the fourth quarter were $334 million, with a gross profit of $51 million and a net income of $8 million. Adjusted EBITDA was $74 million for the quarter, and we had positive operating cash flow of $113 million, resulting in positive free cash flow of $107 million. Highlights for the quarter include improved results in the Gulf of America shelf with good late-season utilization, including work in the Epic Hedron late into December. The successful transition of the Sea Helix 1 to its 3-year Petrobras contracts and securing a multiyear P&A contract in the North Sea that should enable both vessels in the region to be utilized in 2026, bringing the Seawell out of stacking. The year ended with revenues of $1.3 billion with a gross profit of $159 million and a net income of $31 million, generating an adjusted EBITDA of $272 million, and we had positive operating cash flow of $137 million, resulting in positive free cash flow of $120 million. Our cash and liquidity remains strong with increased cash and cash equivalents of $445 million and increased liquidity of $554 million at year-end. Highlights for the year include: a strong year in the Robotics segment working 6 trenches, 7 vessels and 3 boulder grabs with market conditions allowing for further increased rates. Three vessels on long-term contracts in Brazil, the SH1 and SH2 both finished the year under 3-year contracts with Petrobras at higher rates, and the Q7000 is on a 400-day contract with Shell and significant year-over-year improvement for the shallow water abandonment results. Over to Slide 9. Slide 9 provides a more detailed review of our segment results and segment utilization. In the fourth quarter, we continued to operate globally with minimal operational disruption with operations in Europe, Asia Pacific, Brazil, the Gulf of America and the U.S. East Coast. Slide 10 provides further detail of our Well Intervention segment. In the Gulf of America, the Q5000 achieved high utilization, completing work on a multi-well campaign for Shell and then commenced work on a 2-scope program for BP. The Q4000 had some gaps in the schedule in Q4, working on lower rates RV decommissioning projects for Murphy for a good portion of the quarter and returned to contracted works at well intervention level rates last month. In the North Sea, the Well Enhancer had 70% utilization during the quarter, working for 2 customers. The Seawell remained on warm stacked for the quarter, and we reactivated the vessel in January and commenced work earlier this month. In Q4, the Q7000 completed work on numerous wells for Shell on the 400-day decommissioning campaign in Brazil with 100% utilization. The SH1 had 61% utilization during the quarter. The vessel completed decommissioning contract for Trident and then completed inspections and acceptance prior to commencing its 3-year Petrobras contract. The SH 2 had a very strong quarter with 100% utilization for Petrobras. The stand-alone 15K IRS was on hire in Brazil contracted to SLB in the quarter, achieving 75% utilization in the quarter prior to returning to the U.S.A. Moving to Slide 11. Slide 11 provides further detail of our Robotics business. Robotics had another strong quarter and a very good year. The business performed at high standards, operating 6 vessels during the quarter, working between trenching, ROV support and site survey work on renewables and oil and gas-related projects globally. Robotics worked 4 vessels on renewables-related projects during the quarter and had strong vessel utilization overall, with 2 vessels working on trenching projects and 2 vessels working on site clearance. 5 trenches and 2 IROV boulder grabs were utilized during the quarter. We operated 2 vessel trenching spreads in Europe, including the GC Free and the North Sea enabler. The Glomar Wave and the Trym support vessels worked on renewable site clearance projects utilizing the IROV boulder grabs in Europe. We returned the Glomar Wave to its owners in late December following the expiration of its charter and replaced the vessel with the high-spec vessel, the Patriot in January. The Shelia Bordelon along completed ROV works in the Gulf of America, where she is currently undertaking ROV support works prior to being scheduled to head back to the U.S. East Coast. Also in renewables, the T1400-1 trencher completed work on a longer-term contract from a client-provided vessel off Taiwan and the T-1400-2 works from a client-provided vessel for a longer-term contract in the Mediterranean, which has now been extended to the end of Q1 2027. The GC II in the Asia Pacific region performed oil and gas support work offshore Malaysia during the quarter. Our renewables and trenching outlook continues to remain very robust with numerous sizable contracted works in 2026 through 2030 with a solid pipeline of tender activity as far out as 2032 with an improving rates year-over-year. Slide 12 provides detail of our shallow water abandonment business. Q4 is usually seasonally low in terms of utilization for the shallow water abandonment business. However, in Q4, the Hedron heavy lift barge worked well into December with 92% utilization. The dive boats completed 54% utilization and the lift boats 53% utilization. P&A spreads work in offshore totaling 538 days of utilization and the coil tubing systems at 83 days of utilization. In summary, whilst the year was softer than expected at the start, we finished relatively strong. We're encouraged by our strong Robotics and Brazil segments and see improving market conditions in the later half of 2026 and into 2027. I would like to thank our employees for their efforts, delivering again safely at a high level of execution, producing one of our best years in regards of MPT and our safety statistics continue to remain among our best on record. Before I turn the call over, I would be remiss if I did not address the announcement we made in December when Owen, our long-time CEO, announced his intent to retire. Our Board is focused on selecting the next CEO for Helix, following a long-established succession plan, working with outside advisers and Owen. We, the management team, the Board and Owen are committed to business continuity in a smooth transition. We are grateful that we can benefit from Owen's expertise and perspective during this transition as Helix is well positioned with a strong balance sheet that affords opportunities for future growth. On a personal note, I've worked with Owen for over 25 years. He has been a pioneer in intervention, providing leadership and vision to build Helix and drive long-term value creation. On behalf of Helix family, thank you, Owen. To continue our call, I'll now turn the call over to Brent.
Brent Arriaga: Thanks, Scotty. Moving to Slide 14. It outlines our key balance sheet metrics as of December 31. At year-end, we had $445 million of cash and liquidity of $554 million, including the availability on our ABL facility. Our total funded debt was $315 million, and we had negative net debt of $137 million at year-end. Our cash -- our balance sheet remains strong, and we expect to continue adding to our war chest of cash as we anticipate generating meaningful free cash flow in 2026 with minimal debt repayment obligations between now and 2029. I'll now turn the call over to Erik for a discussion on our outlook.
Erik Staffeldt: Thanks, Brent. We are pleased with the strong finish to 2025 delivered by our team. Our operating season extended deep into the fourth quarter before the winter season slowdown. As we enter 2026, we see conflicting signals. We have a strong backlog for the year and a base level of activity in our markets, which remain supportive and constructive. However, we also have a market that lacks conviction or direction. The macroeconomic cross currents allow an uncertain environment to persist, driven by geopolitics, regional conflicts and conflicting supply and demand and pricing dynamics. Despite these challenges, momentum is building as producers signal expanding operations and activity in late '26 or early '27. The global renewables market continues to be robust. Our outlook remains positive despite these near-term headwinds. As we provide our outlook for '26, it is supported by contracts for several of our key well intervention assets and trenching contracts in our Robotics segment. Our outlook for '26 is impacted by 2 distinct events causing year-over-year EBITDA reductions in the range of $40 million. Earlier this month, we completed the successful workover of the Thunder Hawk Field at an estimated cost of $16 million. This will impact our Q1 results. Midyear '26, the Sea Helix 1 is scheduled to perform its 10-year recertification, impacting our results by more than $20 million. Absent these events and despite the fact that various macro challenges from '25 continue into '26, we nonetheless see an environment that is better than '25. We are providing guidance of certain key financial metrics from our '26 forecast. revenue of $1.2 billion to $1.4 billion, revenues in line with 2025. EBITDA of $230 million to $290 million, as mentioned, impacted by Thunder Hawk workover and the Sea Helix 1 docking. CapEx of $70 million to $80 million. Our 2026 spending plans are primarily a mix of regulatory maintenance on our vessels and intervention systems and fleet renewal of our robotics ROVs. Free cash flow, $100 million to $160 million, continued meaningful free cash flow generation with variability driven by ultimate working capital movements. These ranges include some key assumptions and estimates. Any significant variation for these assumptions and estimates could cause our results to fall outside the ranges provided. Key drivers -- forecast drivers for our annual guidance include second half utilization on the Q4000 and Q7000, recovery of the North Sea well intervention market, strong markets for our robotics fleet and a stable shallow water abandonment segment. Overall, as shown on Slide 16, our guidance highlights our reliable EBITDA margins and free cash flow generation. This slide highlights our consistent and healthy cash conversion rates and attractive yields. Our quarterly results will continue to be impacted by seasonal weather in the North Sea and U.S. Gulf Shelf, primarily in the first and fourth quarters. In addition, the Thunder Hawk workover and timing of our vessel maintenance period will cause variances between quarters. Our quarterly financial performance in '26 is expected to follow the same cadence as our previous year's results. The second and third quarter being our most active quarters and the first and fourth quarters impacted by winter weather. With seasonal quarterly impacts and capital spending expected to be front-loaded, the timing of our free cash flow generation is likely skewed to the second half of the year. Providing key assumptions by segment and region starting on Slide 18. First with our Well Intervention segment. The U.S. Gulf of America continues to be a mixed bag. The Q5000 has good contract coverage with white space to fill in her Q3 schedule. The Q4000 is starting the year with contracted work into Q2 with white space in the second half of '26. Utilization on the Q4000 is one of our key areas of focus for '26. We're seeing a nice rebound in the U.K. North Sea well intervention market, albeit with some lower margin work. We have secured almost 400 days of work in the region with several additional opportunities. The Seawell has been reactivated and is currently working. We expect good utilization for the Seawell this year. The well enhancer season is expected to start in March. We are pleased with the recent level of activity in the market and are expecting a solid multiyear recovery. The Q7000 is currently in Brazil, completing its project for Shell. Short-term opportunities for the vessel in Brazil and West Africa are being developed. Utilization on the Q7000 is another one of our key areas of focus this year. The Sea Helix 1 and Siem Helix 2 are contracted to work for Petrobras throughout the year. The Sea Helix 1 has the scheduled 10-year docking midyear with a significant impact to our '26 outlook. Moving to robotics. The robotics trenching market continues to be a bright spot for Helix, specifically in Europe. In 2025, we announced multiple significant trenching contracts in the North Sea that form a foundation of our strong outlook. Bidding activity has been and continues to be extremely active. The APAC market is expected to be softer in '26 with plans to complete trenching projects in Taiwan and relocate the GC2 to the North Sea for trenching projects there. In the North Sea, the Grand Canyon III, Horizon Enabler and GC II are expected to have strong trenching utilization in '26. The GC III does have a docking in Q1 and the GC II has the transit to the North Sea in Q2. The site clearance vessels are forecasted to have good utilization. The T-1400-2 is contracted for the year on a project in the Mediterranean. In the U.S., the Shelia Bordelon line utilization will likely be lumpy with the forecasted combination of work in the U.S. Gulf Coast and U.S. East Coast. Moving on to production facilities. The HP I is on contract for the balance of '26, recently extended to June of '27 with no current expected change. We expect variability with production as Droshky field continues to deplete and the successful Thunder Hawk field workover expected to result in production in Q2. The workover expense of $60 million will impact our Q1 results. Continuing to Alliance, we are expecting to have a traditional seasonality in our shallow water abandonment segment with greater impacts during Q1 and Q4. Once again, we believe results will be ultimately driven by the length of the good weather season. We're seeing improvements in marine offshore and increased competition in the energy services, diving and heavy lift. We expect the Marine Offshore business to maintain good utilization on up to 7 liftboats with some variability and seasonality on the OSVs and crew boats. The Energy Services should have good utilization for 4 to 7 P&A spreads and 1 to 2 coiled tubing units. There is seasonality in diving and heavy lift business that the Hedron is currently completing its docking and is expected to remain idle with limited winter opportunities, after which we do expect an active season during Q2 and Q3. Moving to Slide 19. Our CapEx profile for '26 is heavily impacted by dry docks and maintenance periods on our vessels. The Hedron is currently completing a docking. The Sea Helix 1 has a 45-day docking scheduled midyear. Our CapEx range for '26 is currently $70 million to $80 million. The majority of our CapEx continues to be maintenance and project related, which primarily falls into our operating cash flow. Reviewing our balance sheet, our funded debt of $315 million is expected to decrease by $10 million in '26 with scheduled principal payments on our MAR debt. We expect to continue our share repurchase program with a target repurchases of 25% of free cash flow. At this time, I will turn the call back to Owen for a discussion on our outlook for '22 and beyond and for closing comments. Owen?
Owen Kratz: Thanks, Eric. 2025 has been softer than 2024 with impact on both rates and utilization over revenue down 5% and EBITDA down 10%. However, this is better than expected and better than our revised guidance following the unexpected collapse of work in the U.K. The Gulf of America intervention results were impacted as a result of accelerating the timing of the Q4000 dry dock from 2026 into 2025. We did this to take advantage of what could be a stronger year in 2026 versus the softer second half of '25. The rest of the company showed flat to marginal improved results over expectations in our other segments, highlighted by much improved results in shallow water abandonment and Droshky production. However, Thunder Hawk remains offline for the entire year as partners decided to defer the required intervention until 2026. On the production side, there are some positive developments. Droshky continues to produce much better than expected. The Thunder Hawk intervention completed in February with successful results. The host facility operated by others is experiencing issues that don't allow us to immediately start production, but production is expected to start in early April. Absorbing the cost of the intervention and the slower-than-desired start-up will see EBITDA negatively affected for 2025, but it's a good intervention result with positive future impacts. All in all, it was not a bad performance for the year, allowing us to beat our revised guidance of $255 million of EBITDA, which was set following the unexpected shutdown of activity in the North Sea. Going forward into 2026, we expect the macro outlook to continue to be on the soft side with ongoing uncertainties. We expect the North Sea to start to become more active, led by decommissioning activities. We've reactivated the Seawell and expect market improvements. Likewise, we expect the well operations U.S. business to marginally improve. These expected improvements will be offset by the Q7000 results as it transitions between contracts. In Brazil, we have a 5-year special survey dry dock due on the SH1 before we -- therefore, we expect well operations in Brazil -- we expect operations in Brazil, the results to be meaningfully impacted as we see the SH I out of service and unavailable for approximately 45 days. Robotics should continue to show strong performance with long visibility on sustainable strong results. In shallow water abandonment, we have expected for a while that decommissioning should increase markedly in 2027. In 2026, we expect increased competitive pressures as contractors position for the expected improved market of '27. Therefore, we are expecting a flat to marginal drop in results compared to 2025. Production facilities HP I performance should continue unabated for 2026. There are a few give and takes, but we could see full year -- a full year in 2026 with similar overall results as 2025 as we get set for what we anticipate will be a stronger 2027 all around. Just a note on our guidance for 2026. We're expensing the Thunder Hawk intervention, and we have a 5-year special survey dry dock on the SH1 scheduled for 45 days out of service, as Erik had mentioned. Combined, these 2 events represent $40 million of EBITDA. You can do the math, with this highlights how strong and improving our core business is, and we anticipate a strengthening of the market into and through 2027. We have a lot of cash on the balance sheet and more to come. It should be time to put some of this cash to work. We exit 2025 with the strong balance sheet, as mentioned, with negative net debt and a significant cash position. Helix financial strength continues as we expect another year of strong free cash flow generation, leading to a potential cash balance approaching $600 million by the end of 2026. The market continues to be a bit soft with uncertainties. These 2 events combined create conditions that mean 2026 could be a year to consider meaningful M&A activities or capital investments, which could positively impact the company's shareholder value. We remain a market leader in intervention, [ dcom ] and robotics. We continue to demonstrate our resilience, our ability to deliver results even in a challenging market environment, and we're well positioned for the future. So with that, I'll hand it back to you, Erik.
Erik Staffeldt: Thanks, Owen. Operator, at this time, we'll take any questions. .
Operator: [Operator Instructions] And your first question comes from Jim Rollyson from Raymond James.
Connor Jensen: This is Connor Jensen for Jim at Raymond James. I was just wondering kind of as you mentioned, a lot of cash on the balance sheet, more free cash flow expected in 2026. Maybe just talk about your preference of using that for repurchases versus M&A? And then if there's -- how the M&A market is looking at this time and if there's any actionable opportunities out there?
Owen Kratz: There are actionable opportunities. Right now, I'd say that the Board management, myself, are all collaborating on looking at all the options. Of course, I think with my retirement and a new CEO coming in, there needs to be some buy-in and participation with the new CEO. So I think right now, all I can say is that there are opportunities and they're being assessed.
Connor Jensen: Got it. Makes sense. And then you noted you reactivated the Seawell and expect strong utilization there. I was just wondering how the North Sea market was looking at this point and what you're hearing from operators there after the weaker activity this year or last year?
Scott Sparks: We are seeing much better activity in 2026 than we did in 2025. In 2025, there's a lot of mergers of oil companies that put of operators that put a lot of things on hold. There has been a sizable change towards decommissioning. We've landed a couple of large size decommissioning projects. And so we're seeing this year that both the Seawell and the Well Enhancer will have very active seasons. And we're also already starting to see activity into 2027. So it's definitely an improved market, that's certainly a swing towards decommissioning over production enhancement.
Operator: And your next question comes from James Schumm from TD Cowen.
James Schumm: First, I just want to say, Owen, I just want to wish you the best in retirement. Thank you for all the support over the last several years. You'll be missed, and I hope to see you again soon. And then just maybe on the robotics revenue guidance, it's about flat year-over-year. Can you talk about some of the components of that? For example, is the oil and gas portion up, down or flat? Is offshore wind up this year? And then I thought trenching activity was supposed to be higher or stronger in 2026, but perhaps you could give some color there as well.
Scott Sparks: Yes, sure. So we expect the oil and gas side for robotics to remain flat. If anything, it will go down from moving the GC II from the Asia market to the North Sea for the trenching contract for the NKT announcement that we put out there. So trenching is going to increase. Rates are increasing on the trenching side, but there's a lot of moving parts. The GC II is going to come up from APAC and establish itself in the North Sea. Then we have to swap out trenches from the enabler to the GC2 and then put the T1400-1 from originally working in Taiwan last year back to the North Sea and put that on to the Enabler. So there's quite a few moving parts of inter-regional transitions and then mobilization to various vessels that should set us up very well for '27 onwards. But it's still going to be a very good year in trenching and rates are improving year-over-year, and we've got a very solid outlook for Trenching.
James Schumm: Okay. And then maybe just on Q1, I think maybe you give a good idea to sort of level set expectations so your stock doesn't get whipsawed in April. The consensus, I show $47 million of EBITDA. I mean, should we think about -- I don't think anybody had modeled those 2 issues. I mean I don't know if we can just haircut $40 million from $47 million, that would be only $7 million of EBITDA in the first quarter. Is there any help you can give to us to get some sort of, I don't know, reasonable expectations?
Erik Staffeldt: Yes. Thanks for the question, Jim. I think we tried to highlight that the impact of the workover expense that we incurred will be a Q1 event, and that's the estimated $16 million. So that is a Q1 event. The S Helix 1 right now, we expect that to be a Q2 event. It could slip a little bit into Q3, but it's definitely not a Q1 event. But I think modeling the impact of the Thunder Hawk workover into the Q1 is appropriate. I think when you look at our historical performance for the last several years, Q1 is our lowest quarter naturally from a seasonal standpoint. And of course, we have the -- now this year, the impact of the Thunder Hawk. So that's the right way to model and think about Q1.
Operator: And your next question comes from Josh Jayne from Daniel Energy Partners.
Joshua Jayne: First question is just on the Q7000. The slide deck highlights additional opportunities in Brazil, but also that you could see some potential utilization gaps. Could you just elaborate what you're expecting from that asset in the back half of the year? And then also just speak generally to the intervention market today in Brazil, that would be helpful.
Scott Sparks: The intervention market in Brazil is our strongest market. There's the most activity. We have the 2 long-term contracts with the SH I and SH II for Petrobras, both coming into this year with 3-year contracts. And those contracts have options for Petrobras to extend and there are better rates than we had previously. So Brazil is looking good. The Q7000 is currently contracted into April, May time frame with Shell. And then we're looking at opportunities within Brazil. There's a few smaller clients there that have some our work, but if that work doesn't come to fruition, we're probably going to send the vessel to Africa. We're very close to a larger contract for a good client in Nigeria. And so we've got targets in Brazil and targets in West Africa. There's also potential for opening up Angola. We've never really worked in Angola and we've had quite a bit of bid opportunity in Angola in recent times. So I think Q7000 will be utilized. There may be some gaps in schedule, but it will probably bounce between Africa and Brazil in the coming years.
Joshua Jayne: And I think in Owen's -- towards the end of the prepared remarks, Owen, you talked about, I guess, a little bit more of a competitive nature within the Well Intervention segment. For the assets that have gotten utilization, how much of this is do you think, driven by a bit more competitive environment versus potential operators shifting some of their CapEx programs more towards exploration instead of well intervention type activities. Could you elaborate that a little bit more and how you potentially could see a recovery in 2027 after a lull this year?
Owen Kratz: Just to clarify, and then I'll turn it back over. The comment that I made about the competitive -- increased competition was specifically meant to address the shallow water market. Yes, that's going to continue to be soft for '26 with -- we anticipate strong 2027, as a result, there's more competitors coming into the market and competition will be pretty stiff as everyone positions for the next year.
Scott Sparks: Competition on the Well Intervention side is generally minimal. We compete mostly against rig white space. So we're seeing some rig white space in the Gulf, for instance, and that's given us a flatter look at the Q4000 for this year. . But I think everybody knows going into the latter part of 2026 and 2027, the drillers are expecting to have high utilization, and therefore, operators will switch their white space intervention work from rigs and hope back to us guys, and that should lead to a better 2027, so.
Joshua Jayne: So just one last follow-up on that point. So is that -- just given that backdrop, is it fair to say that the outlook for example, for the Q4 is probably better in '27 than it is in '26. Is that fair?
Scott Sparks: Yes. I think the Q4, for instance, we have a good first half of the year. We've got some white space in the second half of the year. We may end up chasing decommissioning work like we did in the latter part of 2025 for the Q4 but 2027, we should see a more solid year.
Operator: [Operator Instructions] And your next question comes from John Basler from Basler Capital. .
John Basler: I'm just curious what types of gaps in your portfolio would you be looking to address or scale to be gained through M&A?
Owen Kratz: Well, there's quite a few. I wouldn't call them gaps. I think strategically, looking forward, we're sort of at a crossroads here, where for the -- since we started -- basically started building the company following the '08 financial collapse. The focus has been on building out a fundamental fleet that puts us in a leadership role for Well Intervention, which we consider the most essential tool for the post-PDP section of the market. Having done that, we completed that, spent the COVID years and focused on paying down the debt and strengthening the balance sheet again to the point now where we have a very strong balance sheet. Now the next phase of growth will be to increase the value received on our assets by increasing our capabilities to become more and more of a solutions provider rather than simply a commoditized service provider, that would be one direction. I think there's still some geographic expansion for us to look at. So there's a number of pathways that we're looking at here.
John Basler: And if I could ask one more. Is there any metrics or scenarios that you would look to, to determine whether you would revisit a strategic review as opposed to M&A?
Owen Kratz: I'm not sure I understand it.
Erik Staffeldt: I think from our strategy, I think we have positioned the company to obviously, to have a strong balance sheet and are well positioned from, you could say, a standpoint of M&A or capital investment. I think the Board and management team has been open to either direction. I think having the strong balance sheet and strong performance over the last several years has really positioned us for this. I think we see the benefit of, as Owen mentioned, adding different solutions and geographic expansion, but we also understand the benefits associated with scale. So I think from that standpoint, I think we're open to both.
Operator: And your next question comes from James Schumm from TD Cowen.
James Schumm: Just one more for me. Can you give us a sense of the out-of-service time like dry docks out of service days for 2025, 2026 and then what you have sort of scheduled for 2027. And I'm not looking for 2027 guidance or anything, but I'm just trying to get a sense of -- you've got this SH I headwind, do we have a similar headwind in -- for the SH II in 2027? Just what are the things that -- as we sit here today, we know that there's some potential headwinds or tailwinds for next year.
Erik Staffeldt: Yes. I think you'll find most of the information on our '25 already in our results there, but we had the Q7000, the Q5000 and the Q4000 at different times in '25 drydock. As we look at '26, the assets that are impacting our results specifically, and that means being out of service during potential revenue generating, really, this year is the SH I, an example of the Hedron is in dock right now, but absent being in the dock, it still wouldn't be working because of the winter weather. So that is negatively impacting us in '26. I don't recall if there's another one in '26 that is negatively impacting us. As we look at '27, we do have the SH II that will be out of service right now that's expected to be early in '27 from a document standpoint. And I think I'd have to get back to you on any other of the larger assets that would have a docking later in '27. But the SH II will have one early in '27.
Scott Sparks: The Seawell and the Well Enhancer will have some time in '27, but it will be in the off-season. So again, it will not affect our EBITDA generation. It will be in the early part of the year.
Operator: And your next question comes from Ben Sommers from BTIG.
Benjamin Sommers: So sorry if I missed this earlier, but just kind of thinking about the expected improving market environment kind of late '26, early '27. Just kind of any thoughts around potential pricing for well intervention work and then maybe specific basins that you think could really maybe see a market improvement and maybe be able to push pricing for some of that work?
Scott Sparks: Yes. I think as we go into '27, I mentioned earlier that we believe that the drillers will have high utilization. And if that's the case, then their rates will increase we usually fall behind the drilling rates, but as they increase, we tend to increase slightly as well. So I think we'll see improved rates in the U.S. Gulf of Mexico. And when then the North Sea, we should see more decommissioning work that should lead to slightly improved rates. So I don't think there'll be a big jump in rates in the North Sea because we don't really follow the drilling market in North Sea. And then obviously -- and then it's where can we take the Q7000 if it's in Brazil, probably have higher rates if we have to chose work in Nigeria or Angola Equator Guinea, we'll have to see what the market conditions allow for. So it's going to be a bit of a mixed bag, but I'd like to think slightly improved.
Benjamin Sommers: Awesome. And then just kind of on the Gulf there. Just kind of curious what you see in terms of like near-term utilization. Obviously, we have some pockets for the Q5000 Q4000 this year. So just kind of curious for any more color there and kind of the '26 outlook for that market?
Scott Sparks: Yes. So the Q5000 is pretty well taken care of for the first half of the year, and we have some gaps in Q3 but then a solid Q4 for the Q5000. The first half of the year for the Q4000 is looking relatively good. And then like I said, it gets a bit lumpy up there, there's 2 or 3 intervention jobs that we're chasing for the Q4000 in the second half of the year, but then we might have to start going back to decommissioning work or some construction work. But it's early days for the year, but certainly, we have some space to fill on the Q4000 in the second half of the year.
Operator: There are no further questions at this time. And now I'll give back the floor to the company for the closing remarks. Please go ahead.
Erik Staffeldt: Thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our first quarter 2026 call in April. Thank you.